Operator: Welcome to NICE conference call discussing Fourth Quarter 2022 Results. And thank you all for holding. [Operator Instructions] Following management's formal remarks, instructions will be given for the question-and-answer session. As a reminder, this conference is being recorded, February 23, 2023. I would now like to turn the call over to Mr. Marty Cohen, Vice President, Investor Relations at NICE. Please go ahead.
Marty Cohen: Thank you, operator. With me on the call today are Barak Eilam, Chief Executive Officer; and Beth Gaspich, Chief Financial Officer. Before we start, I would like to point out that some of the statements made on this call will constitute forward-looking statements. In accordance with the Safe Harbor provisions of the Private Securities Litigation Reform Act of 1995, please be advised that the company's actual results could differ materially from these forward-looking statements. Additional information regarding the factors that could cause actual results or performance of the company to differ materially is contained in the section entitled Risk Factors in Item 3 of the company's 2020 Annual Report on Form 20-F as filed with the Securities and Exchange Commission on April 5, 2022. During today's call, we will present a more detailed discussion of fourth quarter and full year 2022 results and the company's guidance for the first quarter and full year 2023. Following our comments, there will be an opportunity for questions. Let me remind you that unless otherwise noted on this call, we will be commenting on our adjusted results of operations, which differ in certain respects from Generally Accepted Accounting Principles, as reflected mainly in accounting for acquisition-related revenues and expenses, amortization of intangible assets and accounting for stock-based compensation. The differences between the non-GAAP adjusted results and the equivalent GAAP figures are detailed in today's press release. And I will now turn the call over to Barak.
Barak Eilam: Thank you, Marty and welcome everyone. We're happy to report another quarter of outstanding results with profitable growth momentum. 2022 was another landmark year as we crossed significant milestones highlighting our success and paving the way for future growth. We crossed $2 billion in total revenue, achieved 60% in cloud revenue as a percent of total revenue, continued to move swiftly towards the 30% plus operating margin, witnessed a massive expansion in AI adoption and had the best year ever for both new customer acquisition and new partner onboarding. The strong finish to the year led to a full year 2022, total revenue growth of 30% and 14% in constant currency. Driving these stronger results is our continued excellent execution in the cloud, as cloud revenue increased 27% for the full year 2022, and similarly in Q4. Our strategy has always been to execute on the top line while expanding profitability, and this continued throughout 2022, ending the year with a robust growth in profitability. For the full year 2022, our gross margin increased 50 basis points to 73.1%. Our operating margin was 50 basis points to an industry-leading 28.7%. And we reported earnings per share of $7.62, representing growth of 17%. Much of this growth in profitability was driven by further expansion in our cloud gross margin, which increased 230 basis points to 70% in 2022, demonstrating the superiority of our Cloud architecture that makes us unique in our market. Moreover, for the full year 2022, we generated $480 million in operating cash and ended the year with a total cash position of more than $1.5 billion, giving us the capital flexibility that is unparalleled in our market. NICE is by far in the best competitive position in our industry, operationally, innovatively and financially, providing us significant opportunities ahead to capture a large and expanding market. These opportunities fall into four categories as we see today: Cloud expansion in a vastly under-penetrated enterprise market, accelerating demand for complete platform as the market standard, the rise of AI and the financial distress of our competitors. Let me expand on all four. First, Cloud, while CX Cloud adoption, which 20%, it is extremely nascent in the large enterprise market. Over the next two years, we expect to see enterprises make a meaningful shift to the Cloud. However, the high end of the market is a completely different ballgame. It requires the ability to address both complexity and scale and this can only be addressed with our true native seamlessly integrated platform, CXone. And that brings me to the next opportunity, which is platform and the new market standard. Superior CX is all about the ability to serve the consumer in the most fluent and seamless way. Enterprises are now realizing that this cannot be achieved by loosely integrating dozens of siloed point solutions, which is the common approach promoted by vendors in our industry. The only way to achieve ultimate CX success is by adopting of Cloud platform that was purposely built natively from the ground up with a full suite of solutions. And this is exactly what we have done over the last seven years as we invested more than 12,000 engineering managers [ph] building CXone to become the leading CX platform. The third opportunity is the rise of AI. In the upcoming decade, the most valuable companies will no longer be software companies, but those that transform into AI companies. Organizations are reaching the limit in their ability to achieve further operational gains with the simple automation offered by current enterprise software solutions. AI is the next transformational wave. To become an AI leader, software companies must have three key assets: a Cloud platform that has been widely adopted, massive amounts of historical data and industry-specific domain expertise. NICE is the only one in our industry with these three assets. We have spent the last several years building and deploying ENLIGHTEN, fully embedded in CXone, transforming it from a software platform to an AI platform and creating an unbridgeable gap in our AI leadership. Just a few weeks ago, we were the first to release a groundbreaking integration between ENLIGHTEN AI and ChatGPT pioneering human-like interactions in CX conversational AI, demonstrating our unparalleled innovation. This fourth opportunity related to our ability to capitalize on the financial distress that many of our competitors are experiencing. The CX competitive landscape is split between legacy incumbents that are struggling to service tremendous debt and small players who are dependent on continuous, difficult-to-obtain, capital injection. This situation is raising growing concerns with enterprises who want to partner with a vendor that offer both long-term financial viability, as well as significant commitment to rapid innovation. NICE is the only vendor in the CX market that is extremely profitable, investing heavily in R&D, and at the same time, has a net cash position of more than $1 billion. Our strong financial position gives us great flexibility to innovate and acquire to further fuel growth while continuing to drive increasing profitability. These four opportunities were all apparent in our Q4 deals. We signed an eight-digit deal with one of the largest banks in Latin America, which adopted a large part of our CXone portfolio and was the replacement of three legacy on-premise competitors. We are highly recognized by this customer for our success with large enterprise implementations, our extensive digital and self-service capabilities and the ability to deliver their future needs on single, scalable platform. We signed another eight-digit deal with one the largest Canadian insurance companies. We replaced the legacy incumbent as this customer is moving from an on-premise architecture to a full cloud implementation and selected NICE due to the completeness and native functionality of our digital and self-service capabilities in CXone, providing this customer the ability to grow the digital footprint with a single vendor. In yet another ADG deal, a large U.S.-based cellular company is consolidating their complicated on-premise taxes provided by multiple legacy vendors with CXone as their unified Cloud platform. This customer chose NICE for our market leadership and financial stability. We signed a multitude of seven-digit deals in Q4 and including a large insurance company, who is moving to the Cloud with CXone and one of the largest U.S. independent mortgage providers replacing their on-premise legacy vendor that has recently announced the sunset several of their solutions. In another seven-digit deal, we extended our portfolio of digital solutions at a well-known online bank. We won this deal over a digital pure-play vendor as the result of the CXone unified agent experience across multiple channels, which is a distinct competitive advantage of the CXone platform. We also signed multiple seven-digit deals in international markets, demonstrating the growing demand for cloud in EMEA and APAC. One deal was with a UK-based energy company who was displeased with an existing inflexible on-premise solution, proving increasingly costly to maintain. We won with CXone for the platform superior functionality and support for digital customer journeys, demonstrating faster [indiscernible] and operational efficiencies. In the APAC region, we signed our largest CXone deal-to-date which was a seven-digit deal with a multinational Asia-based technology company. The rapid growth required a next-gen digital platform that was more scalable and provides full conversational AI. In summary, 2022 was a year in which we surpassed significant milestones and continued to outperform on all financial measures. We operate in markets with an abundance of short-term and long-term opportunities. Our platforms are serving the most mission-critical processes of small and large enterprises across multiple verticals. So our financial strength and rapid innovation over the past several years, we opened an unbridgeable gap versus our competitors. We look forward to leveraging our leading position to capture additional market share in 2023 and in the years to come. Before I close, I want to thank our employees for another great year. It is because of you, our identification and passionate desire to succeed that we continue to take NICE to another level of achievement. We are fully energized and ready to charge forward in 2023 and look forward to another excellent year. I will now turn the call over to Beth.
Beth Gaspich: Thank you, Barak, and good day, everyone. I'm pleased to provide an analysis of our financial results and the business performance for the fourth quarter of 2022 and our outlook for the first quarter and full year 2023. Our financial results in the fourth quarter continued to demonstrate the strength in our business with year-over-year growth for both total revenue and EPS in double-digits. Total revenue for the fourth quarter was $569 million, up 10% year-over-year. In constant currency, total revenue in Q4 was $576 million and increased 12% year-over-year, above the high end of our guidance range. Cloud revenue was $359 million in the fourth quarter, which was an increase of 26% year-over-year. In constant currency, Cloud revenue was $361 million and increased 27% year-over-year. Cloud revenue increased sequentially by 9% quarter-over-quarter, similar to the sequential growth in Q4 last year. Our Cloud growth of 27% for the full year was consistent with our expectations and reflects the resiliency of our business and strong demand for the unmatched breadth and depth of our Cloud solutions. Cloud revenue represented a record 63% of total revenue, up from 55% in Q4 last year. Product and Services revenue results were as expected, demonstrating the continued shift of our business to the Cloud. Product revenue, which represented 9% of total revenue in the quarter, decreased 24% to $49 million and Services revenue, which represented 28% of total revenue was $161 million, a slight decrease year-over-year. Recurring revenue, which mainly comprises our Cloud and Maintenance revenue, increased further year-over-year to a record 85% of total revenue in the fourth quarter compared to 80% in the same period last year. From a geographic breakdown, the Americas region, which represented 83% of total revenue, grew 12% year-over-year. The EMEA region, which represented 11% of our total revenue, increased 1% year-over-year and 11% in constant currency. APAC, which represented 6% of total revenue, grew 2% year-over-year and 5% in constant currency. The growth in both EMEA and APAC revenue in the quarter was driven by the growing adoption of our Cloud solutions. Moving to our business unit breakdown. Customer engagement revenues, which represented 82% of our total revenue in Q4 were $467 million, an 11% increase and 12% increase in constant currency compared to last year. CXone, our customer experience cloud platform is the engine driving our growth in customer engagement, both by establishing new logo beachheads and by selling into our installed base. Revenues from Financial Crime and Compliance, which represented 18% of our total revenue in Q4 and totaled $102 million, increased 6% year-over-year and 9% in constant currency. In all segments of the markets where we operate, our Cloud platforms remain our Number 1 strategic focus and growth driver, resulting in our expectation that our Cloud revenue will continue to become a greater percentage of total revenue. As a result, we expect that Product and Services will continue to fluctuate on a quarterly basis as the concentration of our cloud business continues to reach new highs. Now to profitability. At NICE, we continue to distinguish ourselves and our markets as a company that consistently delivers strong triage [ph] results of growth in our revenue, profitability and operating cash generation. Our gross profit grew 10% year-over-year to $413 million. Total gross margin in Q4 was 72.6% compared to 73% in Q4 last year. Cloud gross margin increased 230 basis points and was a record 70.5% in Q4. Our expanding Cloud gross margin is a testament to the efficiency of our Cloud infrastructure, coupled with increasing enterprise adoption of our high-margin portfolio of Cloud software solutions. In Q4, operating income increased by 12% year-over-year to a quarterly record of $163 million, and our industry-leading operating margin increased to 28.6% compared to 28.2% last year. This quarter, our financial and other income was $10 million, driven by a combination of interest income earned from our cash and investment portfolio, combined with a strong favorable impact from exchange rate movements. I would like to highlight that financial and other income includes revaluation of non-U.S. dollar-denominated balance sheet account at the end of each quarter, which can increase quarterly fluctuations. In Q4, EBITDA increased by 14% year-over-year to a quarterly record of $184 million, bringing our annual EBITDA to just under $700 million. Our industry-leading EBITDA margin in the fourth quarter increased to 32.4% compared to 31.5% last year. Earnings per share for the fourth quarter totaled a record $2.04, an increase of 18% compared to Q4 last year. Cash flow from operations in Q4 was $177 million, an increase of 57% compared to last year. For the full year, our cash generated from operations totaled $480 million. Last quarter, we continued to repurchase shares in the amount of $25 million and a total of $145 million for the full year 2022, which is nearly double the amounts repurchased in 2021. We plan to further accelerate our share repurchases in 2023 and complete the $250 million program, announced last quarter, by the end of the current year. Total cash and investments at the end of December totaled $1.572 billion. Our debt, net of hedge instrument was $542 million, resulting in net cash and investments of $1 billion. Before I conclude my remarks, I would like to highlight a few expectations relative to our 2023 outlook. Our guidance is based on the U.S. dollar. At this point in the year, based on forward foreign exchange rates, we do not anticipate a material impact to our total revenue for the full year 2023. We anticipate our Cloud revenue to continue to grow at a healthy rate in a range of 22% to 25% in 2023 with secular growth of 25% in the next several years stemming from the significant increase of Cloud penetration in the large enterprise market. We expect to continue to deliver the strong operational excellence, which has been a constant mainstay of our strategy. We have consistently delivered operating income growth in double-digits, and we expect similar double-digit growth in our full year operating income for 2023. We expect our effective tax rate during the year to be between 21% and 22%. Our first quarter and full year 2023 revenue and EPS guidance is as follows: for the first quarter of 2023, we expect total revenue to be in the range of $559 million to $569 million representing 7% year-over-year growth at the midpoint. We expect the first quarter 2023 fully diluted earnings per share to be in a range of $1.92 to $2.02 representing 9% year-over-year growth at the midpoint. For the full year 2023, we expect total revenue to be in the range of $2.345 billion to $2.365 billion, representing 8% growth at the midpoint compared to full year 2022. We expect the full year 2023 fully diluted earnings per share to be in a range of $8.28 to $8.48, representing 10% growth at the midpoint compared to full year 2022. I will now turn the call over to the operator for questions. Operator?
Operator: Thank you. We will now be conducting a question-and-answer session. [Operator Instructions] Thank you. Our first question is from Samad Samana with Jefferies. Please proceed with your question.
Samad Samana : Hi, good morning. And thanks for taking my questions. Maybe Barak, one to kick off with you. There has been a lot of chatter around AI and the opportunities there in the contact center in particular. And you mentioned it a little bit in your prepared remarks. But I'm just curious, what are attach rates looking like for ENLIGHTEN and how is that impacting the overall deal size or win rates that you're seeing? And how is NICE monetizing that opportunity?
Barak Eilam: Yes, thank you, Samad. I appreciate the question. So, I highlighted not just on this call, I think we shared with you our journey when it comes to AI for the past three years, this has been a strong and leading pillar in our innovation in the past three years and we came out with ENLIGHTEN several years back and more innovation. And we have, we believe, the most robust and significant natively-built AI platform out there. And as I mentioned in my earlier remarks, 2022 was the landmark year for AI as we experienced massive adoption of AI based on ENLIGHTEN. So, first, in terms of the attachment rates, we see it's growing in a dramatic way. We see it across the board in multiple verticals and in all sizes of customers, both existing and new, by the way. Second, it serves as a key differentiator for us. I think that AI, while it's still in the early days on what it can do for the CX business, there is no realization of enterprises, and I find myself when meeting with customers, most of them already tried something and realize that just implementing kind of a silo or a point solution of AI doesn't really deliver the solution, it doesn't scale and it doesn't provide the full complexity. Now that it serves a more complex scenarios and then when they see what we can offer with ENLIGHTEN and recently, including the integration of ChatGPT, it's a completely different ballgame. In terms of monetization, I'll give you kind of two comments on that. One, it increases our deal size in a pretty meaningful way because if you think about it, we spoke historically a lot about the number of seats, which represents where the core of our business was in the past, but AI open up the potential total addressable market for us as we move from share of seats to share of interactions. And you think about overall interactions that are not necessarily attended by a person, we're talking about a very significant amount of interactions that are growing in an exponential way. So that's one way to think about the opportunity and also what we see in the business. And the second thing is to think about a particular deal where it might be even a relatively small contact center footprint with new hundreds of seats, but all of a sudden, if you think about the digital footprint and the introduction of conversation AI, it can be a pretty, almost a mega customer for us. And the last thing I was saying a good example will be the deal that I mentioned in Asia Pacific, which was our largest in our history when it comes to CXone, which was exactly what happened for a customer that had a very, very small contact center, but a very dramatic digital footprint with the true need for conversational AI.
Samad Samana: Very helpful. And then, Beth, maybe a follow-up for you. Just the cloud revenue guidance for 22% to 25% growth for the full year. That's a pretty strong starting point. The only question I have is how should we think about maybe what's assumed in that guidance from a macro perspective or a timing of 2022 book deals going live just given that the range at the midpoint is kind of below that 25% long-term growth rate that you've given. Just how should we think about what went into that guidance or what's assumed for 2023 specifically?
Beth Gaspich: Yes. Thanks for the question, Samad. So as you highlighted, we provided a range of cloud revenue growth expectation between 22% and 25% for the year – of course, that's following a really impressive growth we had in our cloud of 27% for the full year last year and 26% in the fourth quarter. We saw that relative to our closest competitor, our growth rate was considerably higher in the Cloud business. And of course, we're at a scale that's nearly double some of our nearest competitors. So with respect to what we expect in terms of how that will play out, the range was provided as it does include some caution relative to the overall macro environment in 2025. We do believe we have line of sight to the higher end of that range. And of course, we'll continue to update that as the year progresses.
Samad Samana: Thanks.
Barak Eilam: Maybe just to add one more word here, Samad, on the growth moving forward. Beth mentioned the scale that we have, we saw also the sequential growth from Q3 and Q4 that was similar to last year at 9%, which shows that we continue to accelerate well in the Cloud. I think that the message with this guidance vis-à-vis what we hear and see from the competitive landscape is that we are taking market share.
Samad Samana: Great. Thank you both for the color, appreciate it.
Operator: Thank you. Our next question is from Tyler Radke with Citi. Please proceed with your question.
Tyler Radke: Thank you, and good morning. I wanted to touch on the competitive landscape. Obviously, Avaya has been in the headlines with the bankruptcy and it's probably easy to imagine how you are benefiting from that. But I actually wanted to ask you outside of Avaya with some of your other competitors? Just what are you seeing there? Are share gains increasing? And what do you think is the biggest differentiator today in terms of your product set versus the competitors outside of Avaya? Thank you.
Barak Eilam: Sure, no problem. So, you are correct with your observation, and I mentioned it in one of those four big opportunities we see, both for the short and the long term. I think the CX market has a pretty unique competitive landscape right now. And as I said, it's divided between Avaya and another large player out there that are really struggling to basically servicing debt. And we know for a fact that the management team are spending the majority of their time focusing on cash flow and how to service debt with a very, very high interest rate. And as a result of that, they need to take tough decisions that will impact both the short term but also the long term as they are limiting the investment that they can do in innovation. And I believe they are taking decisions that are impacting negatively their ability to compete in, again, both the short term and the long term. So that's one competitive landscape, and I think, it provides a great opportunity for us. We see it already that customers and partners are starting to move away from selecting these platforms. The other side of the market, as you've mentioned, our customer – sorry, our vendors that are either in the last – basically since they started, they basically were banking on a continuous injection of capital. They were either losing money or close to breakeven, and that is no longer the case, and they no longer have the ability to do that. And we hear about a lot of cost reduction activities that they are doing and others that are starting now to experience deceleration, a significant one, in the growth rate and are focusing their efforts on profitability. We operated since ever looking for profitable growth. We have the muscles and the know-how in the company on how to drive growth, drive profitability. And at the same time, we are constantly investing at least 15% of our revenues in R&D making sure that we continue to open the gap and our list of differentiation is just getting bigger and bigger by the day. And we think that it will be very, very hard, potentially impossible, for others, especially in this economy to compete with us in the long run. And I think one last thing I would say is that if you look on, as far as we know, most or all of our competitors went through several rounds of layoffs and we are actually hiring people these days.
Tyler Radke: Got it. Thank you. And Beth, on the guidance for 2023, you commented that product revenue can have some fluctuations, which we've certainly seen that in years past. But I am curious if there is a broader just mix shift that is occurring that you're embedding in 2023 aside from the usual volatility just given that the Cloud guidance was relatively strong in line to slightly ahead of the Street, but total revenue was quite a bit lower. So maybe is there a bigger shift or something you're doing on the sales incentive side to drive a bigger mix shift to Cloud. If you could just kind of elaborate on the product assumptions in that outlook. Thank you.
Beth Gaspich: Yes. Thanks, Tyler. It's a great question. And it is embedded in our guidance for next year. We saw that our Cloud revenue as a percentage of our total revenue mix in Q4 was at a record 63%. We expect that momentum in our Cloud to continue to drive our overall growth. And of course, that means that the mix will continue to be further concentrated as more Cloud revenue as a natural result of that, of course, that means our premise-based business and particularly our new product revenue is expected to see reductions in the current year and looking forward. And of course, that's completely aligned with our expectations and our strategic focus to do really continue our transformation fully as a Cloud company across all of our business segments.
Barak Eilam: Maybe just to add to that because you asked about the sales incentive. So the answer is absolutely yes. We think this is not just the year. We've done it in the past few years, but this is time for us to go all in, going back to the comment before about the competitive landscape and prioritize the Cloud in everything that we do, by the way, across all our business lines. We believe it's the right thing for both the mid- and the long-term. And as a result of that, as Beth said, we are going to experience a decrease in product revenue, but it's the right thing for building ourselves as a very large and fast-growing Cloud company, especially with the fact that our Cloud is coming at north of 70% gross margin that is not just a top line play, it also allows us to build an extremely profitable business moving forward.
Tyler Radke: Thank you.
Operator: Thank you. Our next question is from James Fish with Piper Sandler. Please proceed with your question.
James Fish : Hey guys. Thanks for the questions here. Barak for you, obviously, Samad already kind of brought up AI, but I was kind of wondering how you guys are thinking about how AI can actually accelerate or change cloud conversions in the next few years? Are you starting to see kind of that acceleration interest in the pipeline already because of AI versus kind of what you're seeing over the last, I don't know, 12, 18 months. And what's going to differentiate NICE's AI kind of moving forward? Thanks.
Barak Eilam : Sure. So, the answer is yes. We believe that, a) it is yet another driver for customers that sit on a legacy on-premise platform, AI is definitely one more driver to move to the Cloud. It is almost impossible to have an effective conversational AI solution using your on-prem or legacy hosted solution due to the three assets that I have mentioned, which is the flexibility of a cloud platform and, of course, using the historical data in real time, which can be achieved only in the Cloud. So Cloud is almost, if you would like, a prerequisite in order to really enjoy the full benefit of AI and yes, it's another reason why customers move. And we see more and more customer understand that, and I understand that it's not just about moving the contact center to the Cloud, and they are no longer interested in kind of just like-for-like. They won't have like for better and looking more and more on this shift of the transformational move in order to, on one hand, improving the service they can provide to the customer, move to a digital and at the same time, starting to offer as a force multiplier, if you would like, of a very effective AI in their environment. And we believe that the investments, massive investments that we've done in the past five years, including some very important technological acquisitions we've done back in 2020 and 2021 putting us today in the best position to capture on this opportunity.
James Fish : That's helpful. And then Beth for you. I mean, what are you guys seeing on the expansion rates on cloud relative to the last few quarters? And can you remind us how much you get relative on the cross-sell side versus the upsell? And how you're kind of expecting expansion rates to change in 2023 versus what you saw in 2022 just given kind of the macro environment.
Beth Gaspich: Yes. Thanks, James. Yes, when we look at the expansion we see of our customers, given the fact that CXone is really the most comprehensive suite – platform in the industry, it has a significant amount of opportunity for us to go back into the existing base of our CXone customers and continue to sell more and more of the platform. Of course, as Barak just talked about one of those great opportunities for us is around the use of AI and ENLIGHTEN that is embedded in CXone as well as all of our digital capabilities. So we see that continued expansion of CXone and what the ARPU would look like for our customers. In addition to that, of course, we still have our legacy maintenance space that we also have converting over time to the Cloud. And of course, that gives us additional expansion opportunities as well because we typically see a very nice uplift when those customers shift over to using CXone and that can look anywhere from two to three times upward to nine to ten times. So it's a combination of expansion both from the existing CXone users as well as the conversion of our existing legacy customer base.
Barak Eilam: And I will add to that, that specifically we saw it in the second half last year and even more so in Q4. Beth mentioned that both our NRR, net retention rate, our ARPU and our monthly active user all grew very nicely in Q4 and at a higher percentage than we've seen before, and you've seen it in the sequential growth in the Cloud between Q3 and Q4.
James Fish : Many thanks.
Operator: Thank you. Our next question is from Rishi Jaluria with RBC. Please proceed with your question.
Rishi Jaluria: Wonderful. Thanks so much for taking my questions. Barak, I wanted to start by going a little bit further down the AI path. I know we've had a lot of discussion on the call today. But I wanted to ask specifically about ChatGPT, you have made some announcements around that. Maybe can you give us the longer-term vision for how you intend to incorporate some of ChatGPT's technology along with your own AI and what that looks like? And maybe how that can end up actually being a competitor advantage because obviously ChatGPT can be used by other competitors out there, but I'm sure being able to combine it with your own AI systems starts to be a competitive advantage. So maybe a little bit more color there would be helpful? And then I've got a follow-up for Beth.
Barak Eilam: Sure. Thanks for that. So yes, we were the first to announce several weeks back the integration of ChatGPT. We are always happy to be the first to announce and see others rushing to follow our direction. And the reason why we've managed to be the first one is the fact that we have ENLIGHTEN fully embedded in CXone and we've been working on that for several years, and we have pretty mass adoption of ENLIGHTEN, which allows us to relatively easily integrate a variety of tools like Google Dialogflow, that is kind of a different thing, but obviously ChatGPT and I will mention or into the fact that don't forget that we also have a pretty unique partnership with Microsoft, which I think hinting to also certain elements down the road that we can do on this combination. Specifically, about why customers will choose or choosing to adopt ChatGPT for CX purposes for CXone is the reason is that if they just try to use ChatGPT as is in the contact center, it's not going to fly or not going to help much. And the reason for that is that CX is a pretty unique environment and we are using the subset of ChatGPT that allows us – allow our customers to benefit from some of the strength of ChatGPT, but at the same time, using our unmatched data repository to have a subset of well-trained ChatGPT with the frontend – unified frontend and that we have both to the customer as well as, by the way to the agent in order to access information in a very easy way. So a customer really gets here a win-win situation between the two. And I can tell you that since we introduced it to the market, we had some alpha customers and then with the announcement itself, we have a lot of interest and already engaged with multiple processes with customers. And as I said before, I believe it's just the beginning, and ChatGPT is just one, I believe of multiple generative AI solutions that will come up in the market.
Rishi Jaluria: All right. Wonderful. That's really helpful. And then Beth, apologies if I missed this earlier, but when you think about the guidance for 2023 and specifically the EPS guidance. Can you help us understand what are you assuming in below-the-line adjustments in financing and other interest and all that? Just trying to better understand if you think about the EPS numbers, how much of that is going to be driven by EBIT margin expansion versus below the line adjustments? Thanks.
Beth Gaspich: Yes. Thanks, Rishi. When we look at our EPS and the operating income for next year, I highlighted on the call that our operating income is expected to continue growing double-digits as we've seen for the last many, many quarters. So we'll continue to keep that sharp eye and keen eye around driving profitability from our operations. With respect to EPS, of course, we expect that to likewise to continue to grow in double-digits. And what you can generally expect below-the-line and as I kind of highlighted in my remarks, was that we have a healthy amount of cash on our balance sheet, and we have a nice interest income stream coming from that. However, in the fourth quarter, in particular, it was kind of at a higher point than what we would typically expect to see as a result of the strong gain that we had from exchange rates. So you should keep that in mind when you're looking at 2023, but really, the main focus is that we continue to really drive and manage our business, driving that double-digit growth in profitability, and that's what we expect to see continue coming from our operations.
Rishi Jaluria: Wonderful. Thank you.
Operator: Thank you. Our next question is from Michael Funk with Bank of America. Please proceed with your question.
Michael Funk: Hey. Thank you for the question this morning. A couple if I could. So we've heard from others this quarter about pressure in specific verticals, weaker demand. Would love to hear you maybe compare and contrast your own experience given the relatively strong cloud guidance that you gave for 2023?
Barak Eilam: Yes. We don't see any significant change that I can provide with a certain or to associate a certain vertical. And as I mentioned before, our net retention rate in Q4 actually went up percentage-wise. And I'll mention again the sequential growth and also the guidance is such that we don't expect or don't see a weakness in a particular vertical. Obviously, we are cautious, and we're all watching the economy, but we believe we are taking market share and it gives us strength. Also, for our business we are well diversified across roughly 11 to 12 different verticals, so as we've seen in the past, even if there is a certain weakness in a certain vertical, it's balance itself on another vertical. So we are not necessarily concerned on a particular vertical that is kind of significant for our business.
Michael Funk: And then on returns to shareholders, go to see the commitment to returning incremental capital this year, given your relatively strong net cash position and cash flow generation, how should we think about target leverage, target cash and potential incremental returns to shareholders going forward?
Beth Gaspich: Yes. Thank you. We highlighted today earlier that we just recently announced a new buyback program of $250 million last quarter. And today, we mentioned that it's our intent that we'll actually fully execute against that $250 million buyback during the course of 2023. So it continues to be a priority for us to return to our shareholders. And as you mentioned, we're generating roughly about $500 million of cash from our operations each and every year. So that represents about half of that amount generated from our operations is of course, that means we continue to have a lot of ample powder also to look at acquisition opportunity position.
Barak Eilam: Maybe I'll add to that also that if you look at our – and this is not new, but you look at our difference between our non-GAAP and GAAP and the main component is stock-based compensation. We are very effective or efficient if you'd like in that vis-a-vis some other companies out there, and it's not a big component, which, again, goes back to the – we don't dilute further like some other companies are doing with respect to the total fully diluted shares.
Michael Funk: Thank you for the questions and the highlights.
Operator: Thank you. Our next question is from Meta Marshall with Morgan Stanley. Please proceed with your question.
Unidentified Analyst: Hi. This is Mary on for Meta. Thanks for taking our question. I want to ask you about your partnerships. You have invested in partnerships meaningfully over the past couple of years. And I was just wondering where you're seeing traction with your partnerships? Thanks.
Barak Eilam: Yes. Thanks for the question. I mentioned before that 2020 was indeed a record year for us, not just in terms of the number of new customers, but also in terms of new partnerships and I believe that there is, first of all it's a very important and being a big part of our go-to-market strategy, and we're highly committed to that, and we see great traction. The traction we're seeing right now is in three main areas. The first one is we further expand internationally. We're signing more and more partners in all of those international markets; that's one area. The second is a significant realization of partners, of the legacy incumbent or on-premise vendors like Verint and Genesys that's realizing that they need to go with different vendors that have also a strong financial viability, and they come to us; that's the second one. And a third is kind of newcomers into the CX space. As I mentioned before, customers are looking more to look in the transition to the cloud as a more of a transformative move than just a like-for-like. So you see more of the large consulting firm stepping into this market, and we see them making a bigger impact in the market, and there are some great partnership that we have with this guide.
Unidentified Analyst: Thank you.
Operator: Thank you. Our next question is from Tim Horan with Oppenheimer. Please proceed with your question.
Tim Horan: Thanks guys. I'm going to stay on the AI theme. Can you talk a little bit about how unique your AI product is or who you're competing with at this point? And how long did it take you to curate the data to be able to kind of really put it to use? And I guess, can you talk about your experiences with ChatGPT, what the product is like any surprises? How hard has it been to kind of integrate? Thanks.
Barak Eilam: Thanks. Thanks for the question. So one of the things that we're very happy with is that about five, six years ago we saw the potential of the rise of AI and what can it do or what can be doing for the CX business. And we started to invest and open a division in the company that invested heavily in the research, developed and development and making sure that it's not just a side silo solution, but is well embedded in CXone. We have today 500 engineers dedicated to AI solution, and they're working day and night to continue and enhance the AI capabilities embedded in CXone and the core engine is, as we mentioned, always is ENLIGHTEN. And we're getting to this point in the market where we have already a very significant mileage and many different customers and more and more use cases, which allows us to take you to the next step. Our experience to date with ChatGPT has been very good. The integration itself is not the difficult part. That's kind of the easy part because CXone is such an open platform. So it was a relatively easy to integrate it in. The interesting part is actually the data repository. And the fact that we have this historical data, you asked about how big is it? It is, I'll say gigantic. We're talking about information derived from tens of billions of historical data per vertical, per use case, and I think we have demonstrated some of that in the latest Analyst Day. Happy to do that again in the upcoming Investor and Analyst Day that we have. And that's what really allows us to take ChatGPT and make it fully operational in CX environment, and this is a truly big differentiation that we have because just integration is not enough.
Tim Horan: And how unique do you think your product is? And can you just talk about the experience on the quality and maybe any other findings on what people are using it for?
Barak Eilam: I believe it's very unique, and that's what also we hear from our customers. It goes to the two points or three points that I've mentioned. One is the fact that it's fully embedded in a platform that has been built from the ground up natively with AI capabilities. Second, is the amount of data we already injected and the fact that it's easy for us to train the models and build new models in a very, very fast way and constantly tune them in a very seamless way. And not to take away from the domain expertise of those hundreds of people we have in the company that this is not new for them. And we are engaged today with dozens of different customers of different sizes that are already working to implement that. They're using AI without GPT, but GPT can be a great add-on to the experience.
Tim Horan: Thank you.
Operator: Thank you. There are no further questions at this time. I'd like to hand the floor back over to Barak Eilam for any closing comments.
Barak Eilam: Thank you very much all for joining us. We're happy to summarize a great year, and we're looking forward for an excellent 2023. Have a great day.
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for your participation.